Operator: Greetings. Welcome to Vera Bradley's Fourth Quarter Fiscal 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Mark Dely, Chief Administrative Officer. Thank you, you may begin.
Mark Dely: Good morning and welcome everyone. We'd like to thank you for joining us for today's call. Some of the statements made during our prepared remarks and in response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from those that we expect. Please refer to today's press release and the Company's most recent Form 10-K filed with the SEC for a discussion of known risks and uncertainties. Investors should not assume that the statements made during the call will remain operative at a later time. We undertake no obligation to update any information discussed on today's call. I will now turn over the call over to Vera Bradley's CEO, Jackie Ardrey. Jackie?
Jacqueline Ardrey: Thank you, Mark. Good morning everyone and thank you for joining us on today's call. I want to start with some comments on the quarter. We're pleased with the completion of the first full year of our turnaround story. We've successfully pivoted the organization towards a bright future and effectively managed both the existing business as well as the turnaround efforts through Project Restoration, which will begin to bear fruit in the coming year. Our teams continued to carefully manage both gross margin and expenses in the fourth quarter consistent with efforts earlier in the year. We've improved discipline around gross margin management and cost control, a part of our go-forward DNA. In addition to this discipline, our strategic efforts are focused on stabilizing and growing our sales base. Our recent sales results demonstrate the need for change in our branding, product assortments and store environments, the exact areas that Project Restoration is addressing to position Vera Bradley Inc. for long-term profitable growth. After a year of foundational work, we're very excited about the customer facing changes through Project Restoration that we will unveil this year. For the fourth quarter, Vera Bradley brand revenues fell 6.1% with soft sales in all direct channels. Sales were also negatively impacted by store closures. Customers responded to some of our latest product collaborations and to our newer product offerings like leather, but overall they continued to be more discriminating with their discretionary spending in light of the macroeconomic environment. A bright spot was the November transformation of our online outlet from a flash-sale model to an everyday extension of our outlet stores. This brought new customers to the brand and helped offset weakness in the outlet store channel. On the Indirect side, our wholesale partners were cautious with inventory buys in the fourth quarter. Pura Vida year-over-year fourth quarter sales declined 21.6%, primarily due to decreases in ecommerce and wholesale revenues, as external marketing costs continued to rise and marketing effectiveness remained challenging. Our holiday gifts, like our annual Advent Box, and engraving categories performed best for the quarter. While we are actively addressing revenue stabilization and marketing effectiveness at Pura Vida, our key focus is managing the business for profitability. As a result, we drove meaningful year-over-year operating margin improvement for the fourth quarter and full year. As I'm sure everyone listening understands, a strong balance sheet is incredibly important in retail and especially for Vera Bradley as Project Restoration enters an implementation stage. We continued to strengthen our already strong balance sheet, adding to our year-over-year cash position while strategically reducing our inventory levels. We ended the fiscal year with consolidated revenues of approximately $471 million. We generated GAAP net income of $7.8 million or $0.25 per diluted share, a return to profitability from a sizable loss last year. Excluding charges on a non-GAAP basis, net income for the fiscal year totaled $17.2 million or $0.55 per diluted share. This improved profitability was primarily driven by gross margin performance and disciplined expense control. Now let me turn to Project Restoration. A little over a year ago, we began a comprehensive review of the consumer, brand, product, and channel components for both of our brands. This work culminated in our long-term strategic plan, Project Restoration, which addresses each of these four pillars. Through Project Restoration, we are taking targeted and prudent actions to stabilize revenues, while remaining focused on strong financial discipline. We believe execution of this companywide comprehensive initiative will drive long-term profitable growth and deliver value to our shareholders. At Vera Bradley, Project New Day launches in mid-July, and is the first manifestation of our Project Restoration work and a full pivot from where we are today. It includes, among other things, the reveal of our new and elevated full-line branding and marketing, product, store design, and website. Our work on this initiative was informed by consumer research and current perceptions of the brand from both buyers and non-buyers. We believe we have the ability to attract new customers while keeping our current fans through product innovations and new marketing campaigns designed to inspire joy and connection. Our new assortment has broad appeal and uses new, higher quality, and softer fabrics and styles designed to not only look great, but feel great. I’d like to give you some more details on the progress within each pillar. For the consumer, we are focusing on restoring brand relevance, targeting casual and feminine 35 to 54-year-old women who value both fashion and function. Our focus on the 35 to 54-year-old led us in search of data to understand where and how she shops. We are using this data to inform product design development and will continue to use this data to target new customers and embark on new partnerships, licensing deals, and collaborations to extend our reach. We've created a multiyear customer product growth plan with a focus on this core consumer target along with an appropriate level of marketing investment to acquire new customers as we launch new product and our refreshed brand vision midyear. For the brand, we are strategically marketing our distinctive and unique position as a feminine fashionable brand that connects with consumers on a deep, emotional level. Vera Bradley is a strong brand with tremendous brand recognition and we're going to make it even stronger by telling a new story about it. We are refocusing our marketing efforts and shifting more marketing dollars to increase reach in a more precise way through the right media mix. Our initiatives will include more creative campaigns, enhanced digital reach, increased public relations and innovative store efforts to drive interest and gain new customers. We're also very excited about our new celebrity partner or Chief Joy Officer, who we will announce this summer and we are continuing to shift our focus from channel-specific customer acquisition to an omnichannel perspective for increased media effectiveness. For product, we're refocusing our core categories and items we are best at by innovating and expanding within our core products. We are elevating our colorful feminine heritage, keeping it distinctive, but more trend-right and modern through updated prints, colors, styles and designs. And we will continue to enter into strategic adjacent lifestyle item introductions that make sense for our customers. We have the benefit of a strong brand with high brand recognition and will be offering something new in the full line accessory space under a good, better, best Halo [ph] model. These changes were derived carefully after extensive customer data analysis. There is more attention to key items like travel bags and these smaller items that fit inside bags like wallets and pouches that allow her to customize her look and personalize her organization. Products are curated to meet the needs of our customers, offering superior quality in fabrication, components and overall craftsmanship. We've improved the quality of most of our fabrics while keeping our commitment to increased use of preferred fibers and our retail price structure is unchanged. Although the assortment will look new, it is unmistakably Vera Bradley and our existing customers will still recognize their favorite styles and our distinctive colors, patterns and quilting. The reception from our wholesale customers who have seen our new products at the Dallas, Atlanta and New York markets has been extremely positive. I just mentioned leather. Our revamped leather collection of bags, wallets and wristlets and other accessories debuted last fall. Leather performed well and the initial collection mostly sold out. We've built on this success and developed a major expansion as part of New Day. Our outlet stores and outlet website will get new made for outlet styles, prints and collaborations, as well as the benefit of select merchandise transferred from full-line stores throughout the third quarter. Product collaborations will always be an important part of our brand expression. We continue to see strong response from partnerships with Disney, Hello Kitty and Peanuts, and those will continue in all channels. And then finally for the channel, we're building a balanced footprint that more clearly differentiates our full-line and outlet assortments and experience. We will accelerate our digital-first focus and online reach while maintaining brand-right wholesale relationships and exploring partnerships that will help us acquire new customers. Delivering growth in our ecommerce channels is a key priority. We will accelerate this digital-first focus and elevate our online presence to include more consumer focused features, storytelling and personalized experiences. We are improving our online shopping experience and elevating creative, while offering our outlet assortment online on verabradleyoutlet.com. for the first time ever. We are doing a deep dive into our real estate strategy. Our full-line fleet is 80% in malls and not all of them are A malls. Traffic is declining in some locations and we need to adjust our strategy to optimize the fleet of both full-line and outlet stores. We will explore opening new formats, entering new markets, relocating stores where needed and increasing penetration in existing markets. We have already taken several expense disciplined steps to improve the profitability of our full-line stores. We will update our entire existing full-line store fleet with new branding and an improved shopping experience. The stores will reflect a more modern, less cluttered and easier to shop experience with new fixturing and lighting, allowing the product to shine. Our current year capital budget of $12 million to $14 million is triple of last year's spending, and much of this is attributable to these remodels. In addition, we plan to open two full-line stores this year and are in the process of identifying prudent, modest store expansion plans for the future. We are also exploring new full-line formats with a focus on lifestyle centers. We're also taking a comprehensive approach to addressing the trends in Vera Bradley's outlet channel. We are reviewing all aspects of the outlet operating model for changes and improvements. Keep in mind that the outlet channel remains highly profitable and we will open one new outlet store this year. Maintaining brand-right wholesale relationships are important and we are actively working with new specialty retailers where we know our customer is shopping. As you can see, there's a lot going on at Vera Bradley. Now let me turn to Pura Vida where we are shifting our focus to delivering profitability and balancing the ecommerce business with wholesale and retail stores. Pura Vida's revenues have declined the last two quarters, largely as a result of increased digital media costs that led to new to lower customer acquisition. We diversified our marketing spend and are making additional efforts to retain customers while continuing to work on each pillar of Project Restoration. For the consumer we're sharpening our focus on the 18 to 24-year-old collegiate girl. We will shift our marketing strategy to increased appeal to Gen Z based on our most recent research. For the brand we are recentering our brand ethos on living life to the fullest, sharing real moments, places and faces in our marketing campaigns and sharpening our focus on Gen Z. We are more analytical, using our newly implemented comprehensive customer data platform to more strategically target customers and potential customers with a focus on acquisition, but especially on repeat purchases and retention. This significantly enhanced customer reporting and increased analytics have made us smarter in analyzing challenges and we are investing in new tools to AB test and improve the site experience and conversion. For product we are focused on delivering unique, fun, playful designs that are affordable and accessible with a dominant emphasis on bracelets and jewelry as well as other strategic adjacent categories. We will continue to innovate around string bracelets and our other jewelry and accessory categories. Our custom bracelets, from Harper Charms to engravable items to building your own bracelets, are popular and continue to be a big growth opportunity. We will continue to pursue high profile collaborations like Hello Kitty, Shark Week and Harry Potter, which are always fan favorites and bring new customers to the brand. Social responsibility is important to the Pura Vida customer and we back this through our charity program which supports dozens of causes. And finally, for channel we continue to have strong focus on restoring ecommerce growth with a greater focus on repeat purchases as well as strategic growth of wholesale. Additionally, our success in retail stores has driven us to find new store locations for this year and beyond. We expect to open at least two new additional stores this year. Now let me turn the call over to CFO, Michael Schwindle to review the financial results. Michael?
Michael Schwindle: Thank you Jackie and good morning everyone and thank you for joining us. Before we open for questions, I have a few highlights for the fourth quarter and the full year to cover. For the sake of clarity, the numbers I am discussing today are all non-GAAP in nature and exclude the charges outlined in today's press release. A complete detail of items excluded from the non-GAAP numbers, as well as a reconciliation of GAAP to non-GAAP can also be found in the release. Beginning with our fourth quarter, consolidated net revenues totaled $133.3 million compared to $147.1 million in the prior year. Consolidated net income totaled $3.5 million, or $0.11 per diluted share, compared to a net loss of $1 million, or $0.03 per diluted share last year. The current year fourth quarter consisted of 14 weeks compared to 13 weeks in the prior year fourth quarter. The full year fiscal 2024 consisted of 53 weeks compared to 52 weeks in the prior fiscal year. Comparable sales discussed by Jackie and myself during this call were calculated based on 13 weeks in each of the fourth quarters and 52 weeks in each of the fiscal years. The additional week contributed approximately $6 million in net revenues and increased earnings per share by approximately one penny for both, the current year fourth quarter and the fiscal 2024 year. Current year fourth quarter Vera Bradley direct segment revenues totaled $93 million, a 6.6% decrease from $99.5 million in the prior year fourth quarter. Comparable sales decreased 10% from the prior year, largely driven by weakness in the outlet and full-line channels. Total revenues were also impacted by store closures over the last twelve months, including eight full-line stores and one outlet store, while we also opened three outlet stores over the last twelve months. Vera Bradley Indirect segment revenues totaled $16.1 million, a 3.7% decrease over $16.7 million in the prior year fourth quarter. The decrease was primarily related to lower sales to certain specialty partners and key accounts. Pura Vida segment revenues totaled $24.2 million, a 21.6% decrease from $30.9 million in the prior year fourth quarter, primarily a result of declines in ecommerce and wholesale sales. Fourth quarter gross margin totaled $69.6 million or 52.3% of net revenues compared to $60.7 million or 41.3% of net revenues. The current year gross margin rate compared to the prior year rate was favorably impacted by lower year-over-year inventory reserve charges, lower inbound and outbound freight expense, lower supply chain costs and sell-through of previously reserved inventory, partially offset by increased promotional activity. Prior year gross margin was materially impacted by inventory reserve charges and high inbound and outbound freight expense as well as overhead costs. SG&A expenses in the fourth quarter totaled $65.7 million, or 49.3% of net revenues compared to $64.4 million or 43.8% of net revenues in the prior year fourth quarter. Vera Bradley's current year non-GAAP SG&A expenses were higher than the prior year quarter, primarily due to incremental marketing expenses in the quarter, partially offset by savings from companywide cost reduction initiatives. Fourth quarter consolidated operating income totaled $4.1 million or 3.1% of net revenues, compared to a consolidated net operating loss of $3.5 million or 2.4% of net revenues in the prior year. Now, turning to the full year results, our consolidated net revenues for the year totaled $470.8 million compared to $500 million last year. Consolidated net income totaled $17.2 million, or $0.55 per diluted share, compared to a net loss of $3.2 million, or $0.10 per diluted share last year. Vera Bradley Direct segment revenues for the current fiscal year totaled $309.9 million, a 5.6% decrease from $328.2 million in the prior year. Comparable sales for the year declined by 7.1%. Vera Bradley Indirect segment revenues for the fiscal year totaled $73.8 million, a 0.7% increase over 73.3 million in the prior year, primarily reflecting an increase in certain key account orders partially offset by a decline in certain specialty department revenues. Current year Pura Vida segment revenues totaled $87.1 million, an 11.5% decrease from $98.4 million in the prior year, reflecting declines in ecommerce and wholesale sales, partially offset by growth in retail store sales. Gross margin for the current fiscal year totaled $256.4 million, or 54.5% of net revenues compared to $240.5 million, or 48.1% of net revenues last year. The current year gross profit rate compared to the prior year was favorably impacted again by year-over-year inventory reserve charges, lower year-over-year inbound and outbound freight expense, lower supply chain costs and sell-through of previously reserved inventory, partially offset by increase in promotional activity. For the fiscal year, SG&A expense totaled $234.7 million, or 49.9% of net revenues compared to $245.3 million or 49.1% of net revenues in the prior year. The decline in the current year expenses was driven by companywide cost reduction initiatives. For the fiscal year, the company's consolidated operating income totaled $22.6 million, or 4.8% of net revenues compared to consolidated operating loss of $4.4 million, or 0.9% of net revenues in the prior year. Now, turning to the balance sheet, our fiscal year end cash and cash equivalents totaled $77.3 million compared to $46.6 million at the end of the last fiscal year. We continued to have no borrowings on our $75 million ABL facility at year end. Total fiscal yearend inventory was $118.3 million compared to 142.3 million last year. We have taken strategic actions to reduce our inventory levels and believe we are appropriately positioned as we head into spring and prepare for our new product launches in July. In fiscal 2024, we purchased approximately 360,000 shares of common stock at an average price of $6.10 per share for an aggregate of approximately $2.2 million. $25.5 million remains under our $50 million repurchase authorization and that expires in December of 2024. Now looking forward to our guidance for fiscal 2025, our estimates for fiscal 2025 are based on current macroeconomic trends and expectations as we begin to unveil the results of Project Restoration and the launch of New Day midyear. As a result of this timing, we expect to continue to experience some revenue challenges in the first half of the fiscal year and see improving sales and profitability trends in the second half of the year. We expect to continue to take advantage of gross margin improvement opportunities and will manage our expense structure diligently. As a reminder, all forward looking guidance numbers are on a non-GAAP basis. For the full year fiscal 2025, we expect consolidated net revenues of $460 million to $480 million. As a reminder, net revenues totaled $470.8 million in fiscal 2024. We expect Vera Bradley brand sales to grow by low single digits for the year, with accelerating sales in the second half as we launch new products, branding and marketing. We anticipate Pura Vida brand sales will decline in the mid-teen range as we continue to manage the business for profitability by addressing marketing efficiencies impacting ecommerce sales, which will be partially offset by increased retail sales. We also expect consolidated gross margin of 54% to 55% compared to 54.5% in fiscal 2024. The fiscal 2025 gross profit rate is expected to be relatively flat to last year due to product margin improvements and lower supply chain costs offset by increased shipping costs. Consolidated SG&A expense is expected to range from $229 million to $239 million compared to $234.7 million last year. Year-over-year SG&A expenses are expected to be relatively flat to last year, driven by incremental marketing investments associated with the New Day launch offset by companywide expense reductions and lower Pura Vida expenses. This results in anticipated consolidated operating income of $21 million to $24.5 million compared to $22.6 million in fiscal 2024 along with diluted earnings per share of $0.54 to $0.62 compared to $0.55 last year. We also expect a net capital spending of approximately $12 million to $14 million versus $3.8 million last year. This spend reflects investments associated with new and remodeled stores as well as technology and logistics enhancements. As a result, our free cash flow is anticipated to be approximately $10 million in fiscal 2025 compared to $44.2 million in fiscal 2024. And that concludes our formal remarks. So Sherry, we'd like to open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Joe Gomes with Noble Capital Markets. Please proceed.
Joe Gomes: Good morning.
Jacqueline Ardrey: Good morning, Joe.
Michael Schwindle:
Joe Gomes: So just Jackie, you've talked about a lot of changes coming on both of the brands in calendar year 2024. You've been there for 18 months. Michael, you've been there for about a year, talked about Project Restoration for roughly a year. The challenge of turning around just that much bigger than you originally anticipated, or is there just things that are occurring that it's taken you a relatively long period of time to get your hands around it in order to come up with the changes here that you've outlined today?
Jacqueline Ardrey: That's a great question, Joe and the short answer to that is no. We are absolutely on track in terms of our efforts to turn around the business. The first thing that we really had to deal with was a very long product lifecycle. So I've been here about 15 months and our product lifecycle is roughly 18 months. So kind of getting in the seat and then hiring the team to be able to do this level of transformation. We're right really where we need to be in terms of launching all of this in the middle of the year. And I would say further to that, that it's a big change and it's the one thing over the years many people have followed the brand, and there's been a lot of things at Vera Bradley specifically that we've done. This is a different effort. This is a very comprehensive effort that's really outlined by Project Restoration. It's not just one part of the pillar, it's the entire pillar. So this was a bigger effort. And then expect to see that in the middle of the year when we launch New Day for Vera Bradley, that we'll see some really good results. On the Pura Vida side definitely different issues. We're seeing some other external issues that have really kind of caused us to say, you know what, this is a business that we're going to manage for profitability and we did that this year. We did that for the year. We did that for the quarter. So I feel our plans are really on track.
Joe Gomes: Okay, thanks for that. I appreciate that. And in the comments today, you talked about improving the quality of the fabrics with an unchanged retail price. Does that have any margin impact, or have you got to the point where margins, that won't impact margins by improving the quality of your fabrics, but maintaining price?
Jacqueline Ardrey: Yes, that's a great question, too and we kind of expected that one today. So it’s definitely -- the short answer to that is no. We are actually expecting our product margins to be about the same or a little bit better. And that's because of mix shift for sure, is one element, and then another element is just the designs that we've just been able to design into styles that can highlight the fabrics, the new and improved fabrics that we're using with less make.
Joe Gomes: Okay, thank you. And you also talked about the new full-line format with a focus on lifestyle centers and I was wondering if you could just kind of give us what you meant by that or what you mean by that?
Jacqueline Ardrey: Sure. It's really just the alternative to our in-mall format, which is currently the majority of our fleet. We would like to mix up that ratio and be in a little more lifestyle center, so places that are -- shopping centers that are anchored with whole foods, and in places where she's going all the time. So all of this is really centered around, for Vera Bradley, centered around the customer and understanding where she shops, not only from a specialty or lifestyle retailer point of view, but where she's going every day and how do we just get more in the front of her mind and consideration set?
Joe Gomes: Okay, one more, if I may. So fiscal 2025 is based on your guidance today, kind of going to be a replay of 2024 from a financial point of view. And I was just wondering, what do you think, or what do you see could occur that might make 2025 a better outcome from a financial point of view than 2024?
Jacqueline Ardrey: Michael, do you want to take that?
Michael Schwindle: Let me jump in first. I think the first and the biggest of this would be customer reaction on the other side of New Day. We are being pretty diligent and judicious in our expectations, making sure that we've got an organization that's focused on delivering. So to the extent that consumer reaction is obviously better than what we had planned, that would obviously be better results as well. I think additionally, as I mentioned in my forward looking comments, we are anticipating some continued overhang, economic -- macroeconomic overhang. We saw over the course of 2024 and we talked about this on prior calls, we saw sequential declines in traffic patterns across most of the year. That continued through into the fourth quarter as well. And I think that's reflective in a lot of other retailer results that have been released over the last week or two. So we have continued to anticipate that some portion of that's going to continue to hang over into 2025. So if that outlook gets better, then of course the rising tide lifts all boats on that as well.
Joe Gomes: Great. I appreciate you guys taking my questions and look forward to an interesting 2025.
Michael Schwindle: Thanks, Joe.
Jacqueline Ardrey: Thanks, Joe.
Operator: Our next question is from Eric Beder with SCC Research. Please proceed.
Eric Beder: Good morning.
Jacqueline Ardrey: Good morning, Eric.
Eric Beder: Good morning. So you've made tremendous progress in terms of reducing inventory levels. I gather from what I'm hearing in your guide that's going to start to level off. How should we be thinking about the inventories going forward?
Michael Schwindle: Broadly, as we guide it broadly, we're expecting inventory to be relatively flat on a yearend over year end basis in fiscal 2025. However, given what's going on underneath the surface that will actually represent a bit of an improvement. We are doing a fairly substantial merchandise shift across our channels as part of launching New Day, which will happen midyear. Additionally, there might be some additional unit to turnover improvements that I think will be under the surface beyond that as well. And we'll see as we go forward broadly, you should start to see sales and inventory patterns run similarly on the other side of that. But we think that it'll actually, yearend flat will be actually some structural improvement under the hood.
Eric Beder: Okay. You talked about looking at the, while you're adding storage, you also talked about looking at the composition of the storage you have. What do you have in terms of lease expirations and flexibility to do that now and going forward?
Michael Schwindle: That's a great question. Every year we have a body of stores come up for renewal. As we are approaching landlords at this juncture, we are finding a lot of receptivity to renegotiating lease terms as we move forward. Broadly, there's a couple of closures that will happen this year on the full-line side, but broadly, we're very happy with the fleet as it is and are looking to continue to extend our stays. But as Jackie mentioned, there's a body of work that we will be doing in our stores this coming year as part of New Day, so there'll be a lot of refreshing going on in our stores, so that's part of the conversation as well. We've started to have initial conversations with landlords, and I think the landlords are excited about what we're doing and the outlook on both product and store refreshes.
Eric Beder: Great. Is the goal to have the refreshes done at the start of New Day, or is that going to be an ongoing process? How should we be thinking about that?
Michael Schwindle: I think the short answer to your question is yes. This is one of those that with all of the different refreshes across all of the different stores, it will not all exactly synchronize to the day of product arriving in the stores. But we're working very diligently as a team to make sure that everything is coordinated as tightly as possible.
Eric Beder: Okay. And when we look at, you've kind of hinted around this, what should we be thinking in terms of the categories that are going to be in the stores? Are we going to see less categories and a deeper focus? I think you've kind of implied that, but I'd like to get kind of a confirm and beyond travel, what are the key core categories that you want to be in?
Jacqueline Ardrey: Yes, that's a great question, Eric, and I think it will vary a little bit from the outlet segment to the full-line segment. So in outlet, you'll largely see that the categories remain unchanged though, we are looking obviously, we have a lot of tests that are going on right now from marketing, store merchandising, price points, discounts, everything. A lot of tests around the outlet fleet now, but largely, you won't see a lot of difference in terms of product category breadth. You will likely see some difference in offer breadth and reduction there. And then on the full-line side, really in the stores, there will be more of a focus on travel and bags. Really that's where we looked at the data, that is the place where we're really owed business is bags, but as much backpacks. I mean, backpacks we've kind of maintained our business over the years, but true handbags, belt bags, some of those little more fashionable items, we have not been as strong. So you'll definitely see our commitment to travel, which is really the core of our brand, but then some extension into bags and potentially some unproductive categories moving out of the full-line stores.
Eric Beder: Okay. And last one on Pura Vida. So you mentioned opening some more stores in Pura Vida. Obviously, the sales have been tough. Are you still seeing the strong results in the stores that you have opened to mix and I guess the surrounding areas to justify more stores? And what would be different on the stores you're opening now than the ones you did the first two or three?
Jacqueline Ardrey: Yes, that's a great question. I'll take the first part and then I'll let Michael add if there's anything. So we still see, this is a -- the Pura Vida performance is largely. It's almost three different businesses in terms of the category results or the channel results and retail is still strong and very profitable. And ecommerce really is, because so much of the business is in ecommerce. And the minute that we hit increased costs that affect our new customer acquisition rate, you definitely see challenges in the top line. So, but we still feel strongly about the stores. Some of the stores that we opened last year are really good. So we're kind of looking at how do we take that specific model and find the places that are going to produce those same results. So that's really what we're doing right now. Anything to add?
Michael Schwindle: I would add that we've seen some really good success in tourist oriented areas. And as we look forward and are mapping out the next couple of stores, that's a bit where our focus is. I think the upside from that, from a broader branding and business perspective is it gives you a much bigger footprint nationally than it does just in the local market, because you're tapping people who are coming into that area from all over the country.
Eric Beder: Okay. All right, guys, I look forward to seeing this all in July. Thank you.
Jacqueline Ardrey: Thanks, Eric.
Michael Schwindle: Thank you, Eric.
Operator: [Operator Instructions] With no further questions, I would like to hand the conference back over to Jackie for closing remarks.
Jacqueline Ardrey: Thank you, Sherry. Our entire team is dedicated to returning the company to profitable growth and generating strong cash flow through Project Restoration, which should deliver value to our shareholders over the long-term. We are on track with our Project Restoration initiatives. Thank you for joining us today, and we look forward to sharing our progress with you on our first quarter earnings call on June 12.
Operator: Thank you. This will conclude today’s conference. You may disconnect your lines at this time and thank you for your participation.